Operator: Good day, ladies and gentlemen, and welcome to the ABM Industries Second Quarter Fiscal Year 2012 Conference Call. [Operator Instructions] As a reminder this conference call is being recorded. Now I'll turn the conference over to Mr. Henrik Slipsager, President and Chief Executive Officer. Please begin. 
Henrik Slipsager: Thank you. I'm Henrik Slipsager, President, Chief Executive Officer of ABM. Joining me today are Jim Lusk, Executive VP and Chief Financial Officer; Tracy Price, Executive VP and President of ABM Facility Solutions; and Sarah McConnell, our Senior VP and General Counsel. They'll provide an overview of the 2012 second quarter, which ended April 30. Jim will discuss the details of our financial results. I will comment on the company's operational results in the Janitorial, Parking and Security segments. And Tracy will discuss the results for Facility Solutions segment as well provide some color on how the government business is impacting overall results for this business. 
 In addition, Tracy will cover recent development in our Facility Solutions delivery model as we continue to leverage the combination of Linc and ABM. I will then conclude our prepared remarks with an update on our guidance for fiscal 2012. There's a slide presentation that accompanies today's call. You may access this presentation now by going to our website at www.abm.com. And under Investor Relations, you'll see the Event Presentation tab. Today's presentation will be the first listed. Sarah? 
Sarah McConnell: Thank you, Henrik. Please turn to Slide 2 of the presentation.
 Before we begin, I need to tell you that our presentation today contains predictions, estimates and other forward-looking statements. Our use of the words estimate, expect and similar expressions are intended to identify these statements. These statements represent our current judgment of what the future holds. While we believe them to be reasonable, these statements are subject to risks and uncertainties that could cause our actual results to differ materially. These factors are described in the slide that accompanies this presentation.
 During the course of this presentation, certain non-GAAP financial information will be presented. A reconciliation of those numbers to GAAP financial measures is available at the end of the presentation and on the company's website under Investor Relations. 
Henrik Slipsager: Thank you, Sarah. Now please to turn Slide 3 for a review of our financial highlights for the second quarter. We executed reasonably well against our plans in the second quarter. And with the exception of our government and government-related businesses our bottom line results were largely in line with our expectations. 
 Our top line was relatively flat year-over-year at $1.1 billion, competitively benefited from new client wins from the Janitorial and Security segments. However, the timing of government contracts in Facility Solutions, as well as delays in new job starts impacted revenue growth and performance. 
 We continue to focus on cost control, and our bottom line benefited from employment-based tax credits due to our hiring practices. Provided these items overcame the expected increase and favorable expense primarily from higher rates in state unemployment insurance. As a result, our adjusted income from continuing operations was up by 9%. During the quarter, we settled certain legal matters totaling $5.1 million or $3 million after tax in order to eliminate the ongoing expense and the distraction of prolonged litigation. We're pleased to have resolved these matters and believe the settlements are favorable to ABM. 
 We improved our cash flow from continuing operations by $11.3 million from the same period last year over $42 million. We continue to strengthen our balance sheet outstanding debt levels by $27 million at the end of the first quarter. Now we have over $285 million of borrowing capacity under our credit facility. We also continue to award our shareholders and announced yesterday our quarterly cash dividends of $0.145 per common share. This marked the 185th consecutive dividend. I would like to turn the call over to Jim for financial review of our second quarter and for the 6 months ended April 30. Jim? 
James Lusk: Thank you, Henrik. Good morning, everyone. Turning to our second quarter of fiscal 2012 results on Slide 4. As Henrik mentioned, revenues for the second quarter were essentially flat with the prior year at $1.06 billion. Gross margins for 2012 second quarter were 10.3%, a decrease of 60 basis points from 10.9% in the prior year period. The year-over-year decrease in gross margins is largely the result of increases in labor and employee compensation expenses primarily associated with higher state unemployment insurance. 
 There is an important fact I want to point out. From fiscal 2008 to fiscal 2011, ABM experienced an increase of 85% from payroll expenses associated with higher SUI rates. We estimate that by the end of 2012, the increase from 2008 in payroll expense associated with SUI rates will be the range of 110% to 115%. Using the midpoint of the range, 112.5% and comparing to the 85% in 2008, the amount of the increase over the 3-year period yields an incremental cost of $5 million in fiscal 2012 compared to fiscal 2011. This is consistent with the guidance we are providing and demonstrates the magnitude higher rates have had in our business. 
 From fiscal 2008 to the end of fiscal 2011, higher SUI rates have increased our annual payroll expense by approximately $16 million. 
 SG&A expense for the second quarter increased $1.8 million to $85.2 million. The year-over-year increase is primarily the result of a $5.1 million or $3 million after-tax with expenses associated with the settlement and related accrual of certain legal cases, partially offset by continued cost control measures. Amortization of intangible assets for the second quarter decreased $0.4 million to $5.3 million. The decrease was primarily related to certain intangible assets being amortized using the sum of the year's digits methods, which results in declining amortization expense over the asset's useful life. 
 Interest expense decreased $1.9 million or 44% to $2.4 million from $4.3 million in 2001 second quarter. The decrease was related to lower average borrowings and average interest rates under the line of credit. The average outstanding balance under the company's line of credit was $300.1 million during the quarter compared to an average balance of $419.8 million in the prior year-ago quarter due to the acquisition of Linc on December 1, 2010. 
 Our effective tax rate on income from continuing operations for the second quarter of 2012 was 33.3% compared to 38.3% in the prior year period, primarily as the result of employment-based tax credits compared to the year-ago quarter. It accounted for a $1.8 million benefit to net income in the second quarter. We anticipate our effective tax rate for fiscal 2012 to be in the range of 39% to 41%.  For 2012, we continue to expect a cash tax rate of 20% to 23% as the effects of the OneSource NOLs diminish.  
 Adjusted EBITDA, which excludes items impacting comparability was $40.5 million for the 2012 second quarter, down $1.5 million from the prior year period. Benefits from new and expanded business were offset by lower-than-anticipated contribution from the Facility Solutions segment, primarily from the early termination of government jobs and a $1.7 million increase in payroll-related expense from higher state unemployment insurance rates. 
 Looking at our financial results for the 6 months ended April 30, 2012, also on Slide 4. Revenues were $2.1 billion, up 2% from the same period last year. Net income for the first 6 months ended April 30, 2012, was basically flat at $22.3 million or $0.41 per diluted share from $22.6 million or $0.42 per diluted share in the prior year period. 
 Adjusted income from continuing operations for the first half of fiscal year 2012 was $28 million or $0.51 per diluted share compared to $26.7 million or $0.50 per diluted share for the first 6 months of fiscal 2011. The increase of $1.3 million is the result of a $1.9 million after-tax decrease in interest expense due to lower average borrowings and interest rates and a $1.7 million after-tax sales allowance reserve reduction, primarily driven by sustained improvements in historical and expected credits on client receivables and a $0.8 million decrease in income tax expense, partially offset by $3 million after-tax increase in payroll-related expenses associated with higher federal state unemployment insurance rates. 
 Now turning to Slide 5. We ended the quarter with the $293.5 million in working capital, an increase of $2.9 million from $290.6 million at October 31, 2011. The increase in working capital is primarily driven by the timing of collections received from clients with payments made to vendors partially offset by use of cash to pay down a portion of the outstanding borrowings under the credit facility. 
 Net trade accounts receivable at quarter end were $564.1 million versus $552.1 million at October 31, 2011. Days sales outstanding at quarter end were 50 days, down 1 day on a sequential basis and up 2 days compared to the quarter, second quarter of 2011. The year-over-year increase is primarily due to the timing of collecting receivables in the Facility Solutions segment. 
 Cash provided from continuing operating activities is $42.6 million in the second quarter compared to $31.3 million in the comparable prior year period. The increase of $11.3 million was primarily related to better expense management and timing of vendor payments. 
 The total insurance claims, liabilities at April 30, 2012, were $348.7 million compared to $341.4 million at the end of fiscal 2011. Self-insurance claims paid during the quarter totaled $18.5 million, flat compared to the second quarter of 2011. In the third quarter, with the assistance of an independent external third-party, we will conduct an actuary review of the ultimate cost for self-insurance reserves. I will now turn the call back to Henrik. 
Henrik Slipsager: Thank you, Jim. Turning to slides 6 and 7, I'll provide some brief highlights of our Janitorial, Parking and Security operating segments for the second quarter before turning the call over to Tracy Price for an update on Facility Solutions. 
 We've been recently pleased with our sales performance, excluding government in the first half of 2012. Demand for our service remain steady. We're hopeful that the recent economic sluggishness is temporary. And as we start some of the recently won jobs, top line growth despite fluctuation to our Government business. 
 Internal revenue remained relatively consistent for the same period last year due to new client wins and an increase in tag work revenue from existing clients. Tag business of $36.1 million was up $2.1 million, up 6.3% for the quarter. Our Western region showed good result as it benefited from new and existing job in the high-tech vertical. However, we did experience delays in starting a significant job, which impacted overall performance. Operating profit for Janitorial was $33.5 million, a decrease of $1.4 million or 4.1%. The increase in revenue was offset by continuing impact of residual price compression, payroll- [ph] related expenses and an increase in legal expenses. 
 Revenues for our Parking segment were down 2.2% year-over-year. We were able to increase margins due to an improved mix of work performed and select cost reductions. Operating profit increased $1.2 million, up 24.5%. And margin grew from 3.1% to 4%. [Indiscernible] in the quarter was over 5% increase of revenue and 13% increase operating profit due to new and higher margin jobs. Now please turn to Slide 8 for an update of Facility Solutions from Tracy Price. Tracy? 
Tracy Price: Thank you, Henrik. I'm pleased to provide an update on our Facility Solutions group and some of the work that we've been doing to position the business for long-term success and build value in the changing marketplace. Starting with the second quarter, revenue was nearly $223 million, which represents a $6.6 million or 3% decrease from the prior year. The decrease was primarily related to early termination of Iraq-based U.S. government contracts with the withdrawal of our troops. 
 Looking at operating profit for Facility Solutions, the segment generated $7 million for the quarter approximately $600,000 or 8% lower than 2011. Excluding the negative impact of government on the Facility Solutions business, revenues would've been essentially flat year-over-year while operating profit would've been up 23% reflecting strong results in our Building and Energy Solutions unit and the benefit of additional operating efficiencies. 
 We're very encouraged by the momentum we're generating on a number of fronts. The rising energy cost and increased focus on sustainability, our Building and Energy Solutions unit is showing very strong growth. The second quarter revenue for this part of the business was up 10.3% and operating profit was up 17.5%. In short, we're gaining traction with our ABM guaranteed energy savings programs.
 There are many complex elements involved in developing a financial and technical solution that will help reduce a client's energy consumption and operating cost, and ABM is proving to be the right partner. We're well-equipped to perform the analysis and develop sustainable solutions, which can help reallocate precious capital funding for other facility enhancements. Work is performed by ABM people using ABM technology. It's a win-win situation for the client and ABM and truly fosters long-term trust relationships. 
 With the acquisition of the franchise operations of TEGG Corporation in May, we've completed our service offerings with electrical, preventive and predictive maintenance solutions and are better able to address the significant long-term market opportunity. 
 Before describing what steps we've taken to address client demand, just one point -- last point on Slide 8. The bids for the large task order under DLITE with estimated annual revenue of $400 million to $500 million are currently being reevaluated. We are pleased that the government saw fit to undergo a review of the proposals, but given the uncertain nature of government expenditures these days, we will not venture an estimate of the timing of a potential award. 
 Turning to Slide 9, you see the old service model that existed prior to Linc's acquisition by ABM. The delivery of our legacy services was limited, and growth, while good, was primarily a function of our direct sales effort. 
 Slide 10 shows how today, the combination of ABM, legacy Linc, our recent acquisitions and joint ventures provides our end-user clients with a truly comprehensive and differentiated platform. ABM delivers an integrated approach to quality-driven service delivery across urban, suburban and rural facility locations with truly unrivaled, technology-enabled, national capability. 
 What does this mean long-term for our company and our clients? We've executed a critical step in providing the delivery model for integrated Facility Solutions. Recent contract wins are demonstrating the trust clients have in ABM and the long-term trend associated with integrated Facility Solutions, it is indeed gaining momentum. 
 We now have the capacity to generate revenue and operating profit across the entire spectrum of work orders. Long-term, this provides the opportunity to target higher-margin business as we can manage the mix between higher-volume business with lower profits to lower-volume business with higher profit. We now provide a broader set of solutions that enhance our value-add to the client relationship, will drive additional business and differentiate ABM from our competitors. 
 In summary, while I've been frustrated in our efforts to redeem the expectations to date in our government business, I remain passionately committed to the long-term opportunities before us and our enhanced ability to capitalize on them. Our portfolio of services has never been stronger, momentum is building in key businesses and we are best prepared to seamlessly deliver the integrated services demands which are shaping our industry. I remain confident we can execute on our strategy, and more importantly, delivering on the long-term value Henrik and the shareholders expect from the acquisition. And with that, I'll turn the call back to Henrik. 
Henrik Slipsager: Well, thank you, Tracy. Before moving to guidance, turn to Slide 11 which gives our sales and marketing highlights for the quarter. We continue to have strong sales momentum in the second quarter, and we're pleased to secure in excess of $50 million of business on an annualized basis. Year-to-date, we have won over $150 million in new business across operating segments and joint ventures. 
 Private corporations have economic recovery underway in the U.S. is tepid. During the quarter, we were encouraged by improvement in the commercial office and market fundamentals and demands for our building services. Hopefully, the recent headline news on the economy will just be a minor blip and the momentum will pick back up. 
 Last quarter, we talked about our new brand and logo, which was launched in February. The rebranding was to take advantage of our combined strength and leverage in all of our divisions and assets as one ABM. If you haven't seen our new interactive  Metropolis tool on our website, I encourage you to take a look. It's an excellent vehicle to see all the services we offer and the number of vertical markets we serve. 
 Turning now to guidance on Slide 12. We are reaffirming our previously issued full year 2012 income from continuing operation per diluted share in the range of $1.26 to $1.36 and adjusted income from continuing operations per diluted share in the range of $1.40 to $1.50. 
 As a reminder, there is 1 more work day in the fiscal 2012 compared to fiscal 2011, and that will occur in the third quarter. We estimate a $3.5 million to $4.5 million of increase in pretax labor expense or $0.03 the $0.05 impact per diluted share. We continue to expect similar seasonality as experienced in 2011 between the first half and second half of the fiscal year. The greater number of engineers, the impact of payroll taxes is more front-end loaded, so as we move into the third and fourth quarters, these expenses diminish. As always, our guidance is inclusive of any new acquisitions. At this time, we would like to open the call for questions. Operator? 
Operator: [Operator Instructions] We have a question from David Gold of Sidoti & Company. 
David Gold: A quick question. I wanted to hear a little bit more on, I guess, one of the notes in the presentation that you spoke to was, on the government side, early terminations. Can you give us a sense, I guess, if we go back a quarter ago, when we're talking more about some of delays in work. So a sense for sort of order of magnitude of the early terminations, how those come about and basically how concerned we should be about that? 
Tracy Price: This is Tracy Price. I'll respond to that. I think we were all caught a little flat-footed with the inability of the government to put together a status of forces agreement with Iraq and that really resulted in the rather unceremonious departure on several contracts. And we had 2 in particular Basai [ph] and Ames [ph] which were slated to generate $40-plus million in revenue this year. And without the ability to fulfill those contracts or the anticipated growth on those contracts, we won't be able to replace that income. 
David Gold: Okay. And I guess presumably that was something became more obvious in the second quarter? 
Tracy Price: In January, we were getting inklings that, that was the case. But, yes, it manifests itself closer to the second quarter. 
David Gold: Got you. Got you. Okay. And then another question I have, can you give us a sense on the reevaluation of DLITE, what brought that on and is it still simple, is it 6 finalists or whatever, 6 folks selected including ABM who were being reevaluated or is it being opened to the world? 
Tracy Price: I wouldn't say it's as simple as that. But, no, it's not being reopened to the world. What transpired was a number of companies who thought that the process was flawed and submitted protest. What the government elected to do, instead of acting on the protest was take corrective action, which is good sign, meaning that they believe that they potentially had a flawed processes well. And as the result of that, there are the existing bidders whose bids will be reevaluated for price and technical competency. And since we were already judged to be technically competent, it should devolve to a pricing exercise, and we believe we're competitive. 
David Gold: Got you, got you, okay. And one last one, Henrik, in the pool of new business, we've been relatively successful this year. Can you give some sense how much of that is success by way of the energy initiatives versus other areas? And basically what's the secret to success in winning new business in this tough environment? 
Henrik Slipsager: It's fair to say, David, the growth is a little -- is everywhere. The most exciting part of the growth, even though I'm pretty excited about all kinds of growth, is the sizable contract we're talking about that, unfortunately, it was delayed. It's a Facility Solution job where all our operating units participate. Other than that, it's basically growth everywhere. And then I'm very pleased to see the activity level and that includes Energy, by the way. 
David Gold: Okay, across-the-board. And as far as margins or pricing, you had to give up very much to sign these contracts or is it more about the services that ABM brings to the table? 
Henrik Slipsager: It's a combination of a lot of things, David. There is no doubt that market, especially if you have the single service contracts, the market is very tough out there competitively on the price side. But you're right, when we do present solutions to our client that is primarily in-house, the fact that we can deliver all services and self-perform is very, very attractive. So hopefully, the other percentage on those jobs will be slightly higher. 
Operator: The next question is from Adam Thalhimer of BB&T Capital Markets. 
Adam Thalhimer: Are you able to break out what Linc revenue was in the quarter? 
Henrik Slipsager: No, Linc revenue is merged into the ABM Facility Solutions where the old ABM Engineering business is part of that. So it is nearly impossible to break it up because I can't tell you the business we added from the time we bought Linc till now, if that should be part of the old ABM or should part of the new ABM. So what I'm trying to measure is the size of the company when we bought it, including our engineering group versus how big they are today. And the growth we've had in that company pretty much offsets the loss of business in government. So you see sizable growth in the rest of the engineering group. 
Adam Thalhimer: And Tracy, how should we think about the outlook for government? I know it's weak, it's muddled. But I mean, how long could it be before it becomes a real business again, the Government Services? 
Tracy Price: Yes, well, I think our Government Services business is a real business. The stuff that's been rather opaque has been the dealings in the war theater, and those are primarily related to the contracts that existed in Iraq and Afghanistan. And the delays in deferrals on opening up some of the other DLITE markets, there's 8 to 10 of those contracts in the queue. So I think our frustration is the pace of letting of the contracts. And that I think has to do with more political overtones than economic realities. But it's not like the work is going to go away, so it's just a matter of us being patient and persevering. We will get our share of that business, and we do have the right infrastructure to deliver on it. So I think it's just a matter of time. But I guess, we've all learned that we can't predict what the government is going to do not next. 
Adam Thalhimer: And would you say Afghanistan represents an opportunity or it's just too uncertain? 
Tracy Price: It's an opportunity for us because it's expanded services. 
Adam Thalhimer: Okay. And then last question, which may be Tracy can answer as well, in the Facility Services side, basically [ph] you've seen a lot of companies get -- well, at least a few companies get bigger in that space. You've got the commercial leasing guys trying to move more in the services. You got the construction guys trying to  offer more services than just construction. Then you're coming at it from, I guess, more of an HVAC/Janitorial and now getting into electrical. What is -- how does that play out over the next several years? I mean, what is the competitive environment like in that market? And how much -- how well-received is that kind of approach of the full year solutions? 
Tracy Price: I'll tell you how it's played out over the last 25 years and that is that every time the economy contracts, the construction companies get in service business, the manufacturers get in the service business and the real estate companies get in service business. As soon as the market starts to expand and the economy does better, they all go back to doing what is their core competency and get out of the service business. So it does create some confusion with the customers and compression on margins during these kind of unique periods in the annals of economic history. But we come at it from a pure service play. So we are manufactured agnostic, we're a hoop jumping, obsequious service company. We are not manufacturing a product. We are not a construction company, and we're not generating revenue based on real estate transactions. So the customers understand that. And our orientation has always been comprehensive, integrated facility services with the ability to leverage off of our mechanical footprint and having to subcontract the types of services that ABM traditionally has self-performed. And then adding in the other leg of the stool, with electrical, was very important to us to help facilitate and grow our Energy Services business. So when you look at our model, we really are, I think, one of one in terms of end-to-end capability to do that urban, suburban and rural play that I think is very important to facilitating our growth. But if you look at the expanse of services we provide, the biggest thing that's happened as the result of us being acquired by ABM as we've gone from a hard services, self-perform and subcontracted soft services company to a self-perform, turnkey company which customers appreciate. And I can tell you one of our most recent wins, when we were up against the traditional companies that you just outlined in terms of their normal orientation of focus, the customer's response was, "The reason why you guys won is because you self-perform." So I think what customers understand is that if you're in the "FM" business and you broker services, you're not adding much value. If you're actually providing integrated facility solutions and you turnkey the work, you're providing tremendous value and more work for the same money. 
Operator: Next question is from Andrew Wittmann of Robert W. Baird. 
Andrew J. Wittmann: I just want to touch on the TEGG acquisition, and I just want to understand how a franchise model -- I know that Linc I think brought some franchise as well, but how TEGG's franchise business -- basically, how the revenue model works and how that complements your offerings in that segment? 
Tracy Price: This is Tracy. I believe I'll respond to that. So what you have to understand about our franchising model is essentially, we're providing an end-to-end, back-office and soft skill and hard skill training solution for these guys. So we're teaching them how to be in the service business. We have consistency in terms of back-office, work order management, contract management, business systems management, sales management, pricing, et cetera. And because it would be -- it would take us 20 years to serially acquire companies to develop a national footprint, the most capital-efficient way to go to market is via franchise. The franchisees all do things the same way that we do. They drink the same Kool-Aid we drink. We are our own franchise locations in 24 different markets on the mechanical side. And we had electrical locations in the Southwest and in part of the Northeast. So it's highly complementary to what we do. It's low-revenue but high-margin. But the channel that's created is pretty impactful because if you look at our direct sales model, we have about 120 people carrying an ABM bag every day, selling a panoply of services. When we add the franchise locations and their sales headcount, it adds 300, 400 additional people who can pull-through ABM services and who are all servicing the same end-user customer. So we're all in the building trades business. The mobile guys provide technical service that supports what's going on in the on-site business, and they are a natural constituency for us to be able to contract with and then gives us a legitimate shot at going after national account business that we have not been able to execute or perform because we couldn't guarantee standardization and high-quality across the entire country. We have that capability now. 
Andrew J. Wittmann: So just kind of to follow up on that. First of all, how large is the national kind of opportunity? Just not familiar with that market. 
Tracy Price: Well for us, it's fairly boundless because we haven't been in it. And when we put our business together, we specifically stayed out of the national account business because we couldn't deliver a contiguous solutions set the same way, whether we were in Maine or Miami or Seattle. And the most important thing when you're trying to drive that kind of customer is you have to be able to consistently deliver across their portfolio. The interesting part of the business is, it's always been fairly well-segmented in terms of large campus or building environments in urban areas, then you have more data centers and smaller office locations in the suburban areas. And then in the rural areas, you'll have bank branches. And it's very hard for any company who's just in the on-site business to do the mobile business very well. It's very hard for mobile guys to do the on-site business well. And it's damned near impossible for the on-site and the mobile guys to really do a good job of satisfying the service requirements and keeping the standards and quality high in locations that are 3-, 4-, 5-hour drive away and do it with any kind of pricing model that makes sense to the customer. So really, if you can thread that together and provide it on the same platform, you're doing something that hasn't been done before. So we're pretty optimistic that the crawl, walk or run strategy that we've utilized to date is going to pay dividends for us. We've gone after regional customers who have become national customers. There are national tenders and RFPs that we think we've got a better solution set than other folks. And as we evolve this model and integrate more of the technologies over time, which has been kind of our heritage and pedigree in past, I think we really will come to the market with a better mouse trap and we're going to start taking market share there. But it's a pretty significant opportunity for this company. 
Andrew J. Wittmann: As this process evolves, is there -- is there a plan to capture more of the revenue opportunity rather than just the franchise but to either have the TEGG acquisition leverage and sell-through some broader ABM services where you guys can actually self-perform? Or is there plan maybe to go through and have company-owned franchisees? In other words, just set up your own shop and maybe unpenetrate the markets to actually move into that business? 
Tracy Price: Yes, both. And I think we're interested in the primary, secondary markets. The tertiary markets, I think we would be less interested in, just from a deployment of capital standpoint. But the opportunity for us is to pull-through the work that we're already subcontracting from our on-site business to some of the mobile channel partners that we have in the mobile mechanical and mobile electrical. It's already starting to happen. We can also leverage our electrical footprint now to help support our ambitions in electric vehicle charging stations, which I think we're in the leadership of that business. That' a real opportunity for us. And then our Energy Solutions business, which is arguably the most difficult to execute but the highest margin, is something that we leverage electrical and mechanical talents every day. And we love to do it with our own folks where we're the incumbent in the market. But where we're not, remember, we're making loyalties off the work that we're providing to  our franchisees and/or we will partner with our franchisees to do what we use to call a BES connect where we'll go in and help them with the parts and smarts. They'll do a lot of the actual labor and then they'll end up with the long-term service agreement, which is the sticky part of the customer relationship that they're most interested in any ways. So it really works quite well. And the issue is, can you effectively communicate to all constituents that are serving the same customer across a varied facility solution set in real time, and that's the trick. And I think we're well on our way to having that put together. 
Andrew J. Wittmann: Great. And then I just wanted to do one quickly on Parking. Obviously, operating income up nicely. You said it was a mix thing. So is that -- is it fair to assume that this is fee-based not managed lots that's driving the parking lot growth here? And do you expect that this kind of ramp, I guess, is sustainable? In other words, are you taking share in Parking that's going to continue to drive operating income in that segment? 
Henrik Slipsager: I don't think these numbers reflect the big market share increase. What they reflect is, is we're operating at a high efficiency now than we did in the past. And you're right, it's not the management jobs that drives it. It's the fee jobs that drives it. But I expect Parking to have a very, very nice year. And we have good momentum in that group going right now. 
Andrew J. Wittmann: Okay. Was there anything onetime, though, that led to a big operating income growth here? Or is this more kind of where you're thinking the business is these days? 
Henrik Slipsager: There was no onetime of any major thing that I'm aware of. So this is just -- I think it might be a combination of second quarter last year. It may not been too good. I think, we had some snow last year, et cetera. This year, we didn't have snow. So that, of course, improved the numbers which again proves the fact that snow has an impact in the Parking business, unfortunately. 
Operator: Again this question is from Joe Box of KeyBanc. 
Joe Box: I got a follow-up question on the new accounts booked. Last quarter, Henrik, I think you noted that some of the business wouldn't start until 3Q. But given some of the pushouts that you guys are talking about today, can you maybe just talk to what your conviction level is that some of these business is going to start by 3Q? 
Henrik Slipsager: We feel very certain that most of the business we talked about that hasn't started yet will start sometime during the third quarter. I don't know if [ph] it'll start late in the third quarter, but most of it is expected to be done in the third quarter. 
Joe Box: Okay. And then how much of the $150 million that you booked actually started by 2Q? Just give us some perspective. 
Henrik Slipsager: Well, it's a difficult question and let me tell you why. Because it starts at different times. We might have some business that started last month where it have 1-month impact and other business started 2 months ago has 2-month impact. I would say my guess would be, of the $150 million, I would say half has started and the other half is missing. And but again, you can't see it on the second quarter number because the second quarter number might only include 1 or 2 months revenue on the ones that have already started. 
Joe Box: Okay, that's fair. Last quarter, Henrik, you guys talked about a strong retention level within your Janitorial business. Did that hold up so far in 2Q and where we're at in 3Q? Or are we looking at a bit of a normalization with those numbers? 
Henrik Slipsager: No, it continued in the second quarter at a higher level than I've seen probably in my time here. And I think the focus driven by Jim McClure on retention is really paying off right now. And there might be areas also where you've seen that we have decided to, like in New York take a little cut on pricing with some clients, but at same time, sign a 3- or 5-year deal to make sure that our retention upgrade is high. So I'm very, very pleased with the retention rate. And as a matter of fact, now I'm a believer that this might be the rate going forward. 
Joe Box: Okay, great. Actually, can you quantify where you're at this quarter? 
Henrik Slipsager: High 90s. I think for the first 6 months, I think we are somewhere between 97 and 98. 
Joe Box: Okay, great. I think you may have already touched on this a little bit, but can you give us an update on where the pricing is within the Janitorial market? I'm just curious, is it starting to reflect maybe some improvement in the real estate market, or are we seeing some deterioration of pricing just to maybe look at some of these more recent macro concerns? 
Henrik Slipsager: I think the pricing has not changed that much. What the problem is, is that we have all of these indirect payroll costs going up all the time. And our ability or the ability of anyone in our industry to fully recover the payroll taxes for the state unemployment insurance is tough. So most of the time, we try to offset that cost with productivity increase, and we're pretty successful in that. It is my hope that beginning calendar 2013, we'll finally be able to get a portion of that payroll tax as part of our increases. 
Joe Box: Okay. One last question and this is probably more geared toward Tracy. I know, obviously, you've touched on the Government business, I want to take a little bit from a different angle. I'm just curious when you look at your Government business within Facility Solutions, does it seems like this is going to be a onetime step down in the government business, or could we be looking at a challenged business over the next several years? I'm just trying to understand, are we looking at an offset now because of the Energy business, or will it be continued pressure there? 
Tracy Price: I think what you're going to see is that the base business will continue to remain strong as there's more clarity in the federal budget. The only growth area that was predicted year-over-year from the entire federal budget, and you're seeing the massive budget cuts, and the Northrop Grummans and others having to cut thousands of people, the only area that was predicted to grow the O&M and repair business. So all the equipment that's coming back is going to have to be repaired. The bases are going to have to be repaired. There's a lot of training contract opportunities. It's just been people literally sitting on their hands for fear of making a bad decision that has delayed the normal course of business in that area. And so I would tell you that where in the past, we have benefited from the onetime ramp-up and opportunities in different foreign environments. We have felt the brunt of the burden for the, like I said, the unceremonious departure from Iraq and the lack of follow-through on commitments on contracts in Afghanistan. So I think we're not looking at a multiyear issue here. We're looking at a quarter-by-quarter issue that just very difficult for us to predict. And I'm sure if it is a multiyear issue, I won't be here to talk about it because Henrik won't put up with it. 
Operator: Our next question is Alan Moe [ph] of Imperial Capital. 
Unknown Analyst: Can you just talk a little bit about the pricing environment that you have in the Janitorial segment and then market are you're seeing more price competition? And do you see more or better visibility throughout the balance of the year? 
Henrik Slipsager: I think I responded to that before, and let me just repeat that we don't see too much of a change in the pricing environment in the Janitorial business. It's competitive like it's always been. We see pressure in our cost structure on our payroll tax side. And it is my hope that finally as of January 1 of '13, we'll be able to get that price increase, the increase in our payroll taxes as part of our pricing model to get increases from the clients. 
Operator: There are no further questions at this time, I'd like to turn the conference over to Mr. Henrik Slipsager for any closing remarks. 
Henrik Slipsager: Thank you very much. Thank you very much for listening to our second quarter call, and thanks to Tracy for a very enthusiastic discussion. Look forward to talk to all of you in the third quarter. 
Operator: Ladies and gentlemen, thank you for your participation in today's conference. This concludes the program. You may now disconnect. Have a wonderful day.